Operator: Good day ladies and gentlemen, and welcome to the CDW Corporation's First Quarter Earnings Call. At this time, all participant lines are in a listen-only mode to reduce background noise. But, later we will be conducting a question-and-answer session and instructions will follow at that time. I would now like to introduce your first speaker for today Mr. Tom Richards, Chairman and CEO. You have the floor, sir.
Thomas E. Richards - CDW Corp.: Good morning, everyone. It's a pleasure to be with you today and to report on our first quarter results. Joining me on this call this morning are Ann Ziegler, our Chief Financial Officer; Chris Leahy, our General Counsel; and Sari Macrie, our Vice President, Investor Relations. I'll begin today's call with a brief overview of our results and key drivers, and we'll run through the financials and then we'll go right to your questions. But before we begin, Sari will provide a few important comments regarding what we will share with you today.
Sari L. Macrie - CDW Corp.: Thank you, Tom. Good morning, everyone. Our first quarter earnings release was distributed this morning and is available on our website, investor.cdw.com, along with supplemental slides that you can use to follow along with us during the call. I'd like to remind you that certain comments made in this presentation are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Those statements are subject to risks and uncertainties that could cause actual results to differ materially. Additional information concerning these risks and uncertainties is contained in the Form 8-K we furnished to the SEC today and in the company's other filings with the SEC. CDW assumes no obligation to update the information presented during this webcast. Our presentation also includes certain non-GAAP financial measures, including non-GAAP earnings per share. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You will find reconciliation charts in the slides for today's charts in the slides for today's webcast, as well as in our press release and the Form 8-K we furnished to the SEC. Please note that all references to growth rates or dollar amount increases in our remarks today are versus the comparable period in 2015 unless otherwise indicated. In addition, all references to growth rates for hardware product, software and services, today represent organic net sales only and do not include the results from CDW UK. Also, there was one additional selling day in the first quarter of 2016 compared to the first quarter of 2015. So all sales growth rates references during the call will be on an average daily sales basis unless otherwise indicated. A replay of this webcast will be posted to our website by this time tomorrow. I also want to remind you that this conference call is the property of CDW and may not be recorded or rebroadcast without specific written permission from the company. And with that, let me turn the call back to Tom.
Thomas E. Richards - CDW Corp.: Thanks, Sari. We had a good start to the year as we successfully leveraged the strength of our business model to deliver excellent profitability on solid top line growth. Consolidated net sales were $3.1 billion, up 11.4% above last year. Organic constant currency average daily sales, which exclude the results from our acquisition of UK solutions provider Kelway, increased 3.5%. Gross profit increased 14.9% to $525 million. Adjusted EBITDA increased 10.4% to $233 million and non-GAAP net income per share increased 18.5% to $0.67 per share. These results reflect the impact of three key drivers this quarter. Our balanced portfolio of channels, broad product and solutions suite, and the impact of mix on our profitability. First, our balanced portfolio. We have five U.S. channels each generating an estimated $1 billion or more in annual sales. Our UK and Canadian operations add another $1 billion plus of geographically diverse annual sales. The benefit of this balance was clearly evidenced across the business this quarter. Reflecting the anticipated slower start to the year that we shared with you on our last earnings call, corporate sales increased 3.4%, results were balanced with MedLar up 3.5% and Small Business up 3.2%. As expected, we saw pockets of industry weakness with a generally overall slower economic picture. Public increased 3.5%. Government results were excellent, up 13.7% reflecting ongoing success in meeting public safety needs at the state and local level and program alignment at the federal level. As expected, healthcare increased 1.3% as customers continued their focus on reducing cost as part of merger consolidations and ongoing reimbursement pressure. Education decreased 2.8%; K-12 was down just over 1% while higher-ed was down high single digits. Higher-ed continued to be impacted by large state budget log jams and ongoing budget prioritizations. K-12 delivered excellent increases in infrastructure based on solutions, including netcom and storage, which offset a decline in client devices and accessories. Our Canadian and UK business, which we report together as other, combined to deliver just over $350 million this quarter. UK contributed roughly $230 million. They had an excellent quarter growing low double-digits in local currency. The first calendar quarter is typically a strong quarter in the UK; as they benefit from March fiscal year-end spend by both public and many corporate customers. Canada overcame ongoing macro softness in the West from depressed oil prices, increasing mid single-digits in local currency. However, while moderating in impact, currency continued to provide headwinds for Canada and they posted a 5% decline in U.S. dollars. The second driver of our results, was our broad product and solution suite, with more than 100,000 products and solutions backed by deep technical resources, we help our customers across the entire spectrum of IT needs. This was evident in our balanced organic growth across solutions and transactional sales, both increasing between 3% and 4%. Public solutions increased low double-digits, while transaction sales were flat. Corporate performance was the opposite, with solutions flat and transactional sales up high single-digits. On a net sales basis, hardware was up 3%, software increased 7% and services increased 9%. Adoption of new form factors helped drive high single-digit increases in notebooks and mobile devices, which were partially offset by a slight decline in desktops. Overall, client devices increased mid single-digits. Storage also increased mid single-digits. We saw solid increases from more traditional partners, as well as continued benefit from emerging names. Flash storage remains strong; in fact, flash delivered roughly 5% of total organic growth in the quarter. As more and more of our customers adopt collaboration solutions and digital communication, video equipment, including digital signage, delivered a double-digit increase in the quarter. Our contribution from Dell was as expected, and we are moving along as planned with our ramp activities. Server solutions, which includes the server box plus the software and services tied to servers, increased mid-single digits. On a standalone basis, server hardware declined as virtualization and memory options expand existing capacity, you should expect to see more lumpiness in server hardware results. Network hardware growth was low single digits. This reflected both product cycle timing and a greater portion of solutions coming from software as evidenced by network management software's high single digit growth. This move to a greater percentage of solutions coming from software helped drive continued excellent results in other software categories, including security software and server virtualization. We also saw continued excellent results in cloud-based software as a service. Our cloud practice continued to grow at a rapid clip, with first quarter customer cloud spend up over 50%. Since cloud revenues are booked on a net basis, cloud was a strong contributor to our gross profit line. Given the size of our base, cloud gross profit is a small, but growing piece of our total gross profit. In fact, for the first quarter of 2016, the percentage of organic gross profit that cloud represented increased 5%, up nearly 100 basis points over the first quarter of 2015. Rapid cloud growth contributed to overall software profitability. First quarter gross profit from software grew at a faster rate than sales. Nearly double-digit services growth was primarily driven by warranties and CDW-delivered services, including the impact from a new market we opened last year. Excellent growth in the quarter from software as a service and warranties resulted in higher mix of 100% gross margin revenues, which we call net service contract revenues, or NSCR. And that leads us to the final driver of our results this quarter, the impact of mix on our profitability. An essential element of our long-term success has been our ability to consistently deliver profitable growth. This quarter's results were an excellent example of how the mix of our business influences our ability to achieve this goal. We have a long history of profitable growth; an important reason for that is our focus and discipline in the market that is underpinned by our compensation structure. Since our sellers are compensated on gross profit, they aren't incented to constantly chase low margin deals. This quarter, product sales grew slower than SCR. Since NSCR sales are booked net and translate into 100% gross margin, this mix shift drove improved gross margin and excellent profitability in the quarter. In addition to delivering profitable growth during the quarter, we made good progress against all three of our strategic priorities. Our first strategy is to take market share through further penetrating existing customers and acquisition of new customers. Our second strategy is to continue to expand our already strong solutions offerings, which include virtualization, collaboration, security, mobility, data center and cloud computing. Our third strategic priority is to continue to enhance our service capability. Service capability underpin many solutions and are a key way we add value to both customers and partners and gain market share. Reinforcing our brand position is an important way we increase customer penetration and attract new customers. During the first quarter, we rolled out our new brand campaign called Orchestration. Orchestration focuses on our role as a trusted adviser and highlights the unique role we play with our customers. It is not focused on what we sell, but rather how we serve. It's not focused on our products, but how we bring them together to help our customers achieve their goals. Our ability to orchestrate IT is possible because of the investments we have made in people and solutions to evolve with the market. By executing against our strategy, we have built deep technical expertise and a broad solutions portfolio with nationwide services and multi-national capabilities. Our ability to orchestrate IT is also possible, because of our deep understanding of the unique needs of our customers. By sub-segmenting the market and aligning the resources around key verticals and geographies, we build deep industry knowledge that helps us not only meet but anticipate customer needs. Let me share a recent solution that epitomizes how we do this in our state and local business, which, as you know, has been a standout performer for several years. A western state passed legislation designed to reduce incarceration and recidivism rates. Their goal was two-fold: improve the lives of its citizens and save money for tax payers by prioritizing prison space for serious and violent offenders, and improving and expanding treatment services. Prioritization and service decisions will be facilitated by pre-incarceration interviews for every person arrested. Since interviewing every newly arrested person is a significant undertaking, grant funds were included in the legislation to help local authorities accomplish this. Here's where CDW came in; we brought together endpoint hardware, cloud-based collaboration using a secure and encrypted cloud, and managed services to help local authorities overcome some of the complexity and cost of implementing the legislation. With our solution, trained interviewers conduct evaluation interviews from centralized locations, or hubs so local authorities don't have to dedicate resources at every jail. And local law enforcement doesn't need dedicated IT personnel to install, train and maintain the system since it is all handled by CDW. This solution is on track to deliver nearly $200,000 of annual revenues, while helping us solve an important societal issue; a great example of the power of Orchestration. In April, we introduced our Orchestration campaign to customers in the UK with print, digital, out of home components including taxi, rail and office signage. This was an important step in our acquisition strategy. As you know, we made the acquisition to further our ability to better meet the needs of our U.S.-based multinational customers and acquire new multinational customers. It's a protect-and-grow strategy and one dependent on delivering a consistent experience for our customers regardless of where they are located. One element to this strategy is to leverage the power of the CDW brand across markets. So in April, we flipped the switch to rebrand the entire Kelway organization to CDW. To-date, we have rebranded the website, office decor, packaging, sales collateral and e-mail addresses for the entire organization. Of course, delivering that consistent customer experience is a major initiative and requires much more than a name change. And, as with any other major initiative, it will take time to do it right – time to build the reputation, time to develop the systems and process alignment, as well as implement the training required to deliver that constant one company experience for all of our coworkers, customers and partners across the U.S., Canada, UK, Ireland, South Africa, Asia and Australia. In the meantime, we continue to benefit from our cross national capabilities and continue to see referral business grow. A great example of this is the success we are having with a U.S.-based shared economy company. We originally helped them with data center solutions in the U.S. They liked our approach and asked us to help them implement the same solution in other markets. Because of our multinational presence through CDW UK, we've been able to help this customer implement the same solution in Asia, Europe and Australia. A clear demonstration of the value of a consistent IT solutions experience across a company's infrastructure and how our capabilities result in greater share of wallet. To-date, this customer has generated more than $10 million in incremental revenue outside the U.S. and we have cemented a long-term relationship with this U.S.-based customer. During the quarter, we continued to invest in customer-facing coworkers. Adding new customer-facing coworkers is vital to our ability to continually enhance our capabilities to anticipate and meet our customers' needs. We added 50 customer-facing North American coworkers in the quarter in line with the 2016 plan we shared with you last quarter for adding between 50 and 75 customer-facing coworkers during 2016. We also added another 55 customer-facing coworkers in the UK to further support their growth, primarily in services. With what we are seeing in the market right now, this feels like the right level for the year. Our focus now is on boarding and driving productivity for the 275 customer-facing coworkers we have added since last year's third quarter. Of course, just as we always do, we will monitor the marketplace and adjust our hiring plans up or down as needed. And that leads to our expectations for the rest of the year. You'll recall that on our last call we indicated we thought the U.S. IT market growth would be between 2% and 3% in 2016, ramping with improved economic activity as we move through the year. At this time, given what we are seeing in the market, we continue to expect that pattern to play out. We expect education to improve as we move through the year as remaining 2015 E-Rate funds are spent and new 2016 funds begin to flow. Higher-ed has a number of initiatives that are designed to leverage states with greater available funds, as well as help institutions leverage every IT dollar spent. And while it is still early, we are seeing signs of some budget log jams breaking. We expect healthcare to be a low growth market in 2016, as the industry focuses on cost savings and budgets remain under pressure from lower reimbursement. Governments should continue to perform, but at a slower clip, as we now are lapping last year's double-digit growth. Since corporate is more correlated to U.S. macro trends, we expect to see improvement as we move through the year and we'll remain laser-focused on finding opportunities to ensure we continue to outperform the market. We look for small business to continue to execute well, although we remain watchful for changes in customer buying behavior stemming from real or perceived worsening economic conditions. In UK and Canada, the expectations remain the same, grow at least 200 basis points to 300 basis points above local market growth, which we continue to see in the 1% to 2% range for both countries. Canada will continue to focused on covering growth opportunities to offset macroeconomic pressures in the Western territories. We continue to look for UK to deliver 650 basis points to 700 basis points of total growth in the first half of the year. Given first quarter performance, we expect to be at the high end of this range. In addition, we continue to look for Dell to ramp its contribution as we move through the year, to the end of the year, at roughly 150 basis points. As you recall, UK and Dell growth is incremental to our organic constant currency growth, which we continue to target at 200 basis points to 300 basis points above the U.S. IT market. As this is our practice, we will update our view on the market growth as we move through the year. Now, let me turn it over to Ann, who will share more detail on our financial performance. Ann?
Ann Elizabeth Ziegler - CDW Corp.: Thanks, Tom. Good morning, everyone. As Tom indicated, our first quarter financial results reflect the combined power of our balanced portfolio of channels, breadth of product offerings, and focus on profitable growth. They also reflect the progress we are making against our long-term financial strategy to drive strong cash flow, deliver double-digit earnings growth and return cash to our shareholders. Turning to our P&L, if you have access to the slides posted online, it will be helpful to follow along. I am on slide seven. Consolidated top-line growth was excellent this quarter with net sales of $3.1 billion, 13.1% higher than last year on a reported basis and 11.4% on an average daily sales basis, as there was one more selling day this quarter than last year. Average daily sales were $48.7 million. While Canada represents a relatively small portion of our total net sales at just over $120 million this quarter, Canadian dollar translation continues to impact our organic net sales growth, shaving approximately 40 basis points off of organic growth in the quarter, 20 basis points less than the first quarter of last year, and 30 basis points less than last quarter. On a constant currency basis, organic net sales were 3.5% higher than last year. Organic sequential sales were down 11.4% on an ADS basis versus Q4 2015, which is slightly higher than our historical Q1 to Q4 sequential decline. Gross profit for the quarter increased 14.9% to $524.5 million. Gross margin in the first quarter was 16.8%, 25 basis points above last year. Product margin declines were more than offset by our higher mix of net service contract revenues, including 10 basis points from SaaS and higher vendor partner funding. Turning to SG&A on slide eight, as expected, consolidated reported SG&A, including advertising expense, grew faster than sales coming in 19.2% higher than last year. This reflects the impact of more than 300 incremental North American coworkers added since first quarter of 2015, incremental CDW UK SG&A and a 16% increase in advertising, including costs related to our new Orchestration campaign. Adjusted SG&A for the quarter, which also grew just over 19%, excludes $8.4 million of non-cash equity compensation, $1.6 million of acquisition and integration expense, and $2.7 million of other miscellaneous adjustments, including a favorable resolution of a local sales tax matter and office consolidation expenses. The non-cash equity compensation increase reflects ongoing long-term annual performance awards granted in Q1, incremental CDW UK awards and performance against long-term incentive program targets. To make it easier to calculate our adjusted EBITDA, which is essentially our gross profit less adjusted SG&A expenses, we also adjust for depreciation and amortization. Amortization of purchased intangibles increased $7.2 million in Q1 versus last year, primarily due to the UK acquisition. Depreciation and other amortization increased $3.6 million, primarily due to our new office locations and the inclusion of CDW UK. Our adjusted EBITDA for the quarter was $232.7 million, up 10.4%. As expected, our adjusted EBITDA margin declined 20 basis points year-over-year to 7.5%. Looking at the rest of the P&L on slide 9, interest expense was 14.9% lower than last year at $38.1 million, reflecting reductions driven by repayments and refinancing activities completed in Q1 of 2015. Turning to taxes, our effective tax rate was 37.2% compared to 37.1% in last year's Q1, which resulted in a tax expense of $46.1 million versus $32.3 million. On a GAAP basis, we earned $77.8 million of net income. Our non-GAAP net income, which better reflects our operating performance, was $112.7 million in the quarter, up 15.5% over last year. As you can see on slide 10, non-GAAP net income reflects after-tax add-backs that fall into four general buckets: the ongoing amortization of purchased intangibles, non-cash equity compensation, acquisition and integration expenses, and other non-recurring income or expense. With Q1 weighted average diluted shares outstanding of 169 million, which is roughly 1 million shares fewer than Q4, we delivered $0.67 of non-GAAP net income per share, up 18.5% over the prior year. Turning to our balance sheet on slide 11, on March 31, we had $248.2 million of cash and cash equivalents and net debt of $3 billion, $271 million more than a year ago, reflecting cash paid and debt consolidation as part of the acquisition of CDW UK. Our cash plus revolver availability was $1.2 billion. Net debt to trailing 12-month EBITDA at the end of Q1 was 2.8 times, within our target range. Our current weighted average interest rate on outstanding debt is 4.4%. Given today's uncertain interest rate environment, I'd like to remind you that our $1.5 billion floating rate term-loan facility has a 1% LIBOR floor, and we have $1.4 billion notional amount of 2% interest rate caps in place, which don't expire until Q1 2017. With the exception of an $83 million facility at CDW UK, the remainder of our outstanding debt is fixed rate. So approximately 95% of our outstanding debt is effectively fixed or hedged and rates would have to move significantly before they had a material impact on our interest costs. As you can see on slide 12, we maintained strong rolling three-month working capital metrics during Q1. Note that when we have a higher proportion of sales being netted down, we see increases in both DSO and DPO. This is because sales are booked net, but receivables reflect the gross billings to the customer, while payables are matched against zero cost of goods sold. Both measures increase and essentially the impact is a wash; that's why we focus on our cash conversion cycle, because this is the best measure of our working capital efficiency. For the quarter, our cash conversion cycle was 20 days, down one day versus last year's first quarter and at the low end of our target range. Cash taxes paid for the quarter were $6.8 million and cash interest was $44.1 million. Free cash flow for the quarter, which we calculate as operating cash flow plus the net change in our flooring agreement less capital expenditures, was $350.1 million compared to $125.4 million in Q1 of 2015. As you recall, free cash flow in Q1 2015 was $100 million lower than normal due to one-time items and timing which pulled forward roughly $100 million of free cash to Q4 2014. This year's organic performance is more consistent with our typical pattern where we see strong cash flow in the first quarter due to our sequential sales decline from Q4 and payment of Q1 cash taxes in Q2. In addition, this quarter we had the incremental impact of CDW UK cash flow. During the quarter, we made excellent progress on our capital allocation strategy, and we repurchased 3 million shares for $118 million at an average cost of $39.29 per share. Our capital allocation strategy is comprised of the following four components, which you can see on slide 13. First, increase dividends annually. To guide these increases, in November 2014, we set a target to achieve a dividend payout of 30% of free cash flow over five years. For this quarter, we will pay a dividend of $0.1075 per share on June 10 to shareholders of record as of May 25, up 59% from a year ago. Since the IPO, our dividends have more than doubled. Second, ensure that we have the right capital structure in place. We have set a target to generally maintain net debt-to-adjusted EBITDA leverage in the range of 2.5 times to 3.0 times. We ended Q1 at 2.8 times. Third, supplement organic growth with tuck-in acquisitions. Our CDW UK investment is an excellent example of this. In the first quarter, UK contributed roughly $0.05 per share, in line with our expectations. And fourth, return excess cash after dividends and M&A to shareholders via share repurchases. We had an initial authorization of $500 million November 2014 and through the end of the first quarter this year, we had $141 million remaining of that authorization. To further support this priority, our Board of Directors have authorized a $750 million increase to our share repurchase program. These capital allocation priorities support our 2016 to 2018 medium-term targets, which you see on slide 14. Similar to those in place for 2013 to 2015, we are targeting growth of 200 basis points to 300 basis points faster than the U.S. IT market and an adjusted EBITDA margin in the mid 7% range. Reflecting the conclusion of our initial refinancings and absence of earnings amplification from lower interest expense, our 2016 through 2018 medium-term annual targets call for low double-digit EPS growth. We intend to use share repurchases and accretive acquisitions to amplify operating results and help achieve this target. Keep in mind that we hold ourselves accountable for achieving our medium-term target on an annual, not on a quarterly, basis. Let me provide you with a few additional comments for those of you modeling the rest of our 2016 financials. I am on slide 15. Based on Q1 results and expectations for the rest of the year, we look for the balance of sales between first half and second half to be generally consistent with our normal seasonality, roughly 48% to 52% weighted towards the back half of the year. As we shared with you on our last call, we look for Dell to contribute up to 150 basis points in 2016 with revenues split 40%, 60% between the first half and second half. There is no change to our expectation that CDW UK will contribute between 650 basis points and 700 basis points in the first half. However, given first quarter performance, we expect to be nearer to the high end of that range. Also, there is no change to our expectations that currency impact for the full year will be very roughly 70 basis points. Canadian currency will drive first half translation, while the British pound, U.S. dollar will drive second half. This assumes the same average annual translation rates we shared last quarter of C$1 equal to US$0.69 and US$1.42 to the pound. Moving down the P&L, we expect gross margin percentage to be lighter for the balance of the year as margin mix reverts back to a higher percentage of product versus NSCR. We continue to look for adjusted SG&A to grow faster than sales due to increased coworker count and related coworker expenses as well as CDW UK sales compensation impact due to its higher mix of services and solutions. We continue to expect full year adjusted EBITDA margin to come at the high end of our medium-term annual target of the mid 7% range. With the impact of our last refinancing in March of 2015 anniversaried, year-to-go booked interest per quarter will run in line with Q1 at roughly $38 million per quarter. We also expect year-to-go depreciation and amortization and non-cash equity compensation to run similar to Q1 at roughly $62 million per quarter and roughly $8 million per quarter, respectively. We continue to look for our 2016 booked tax rate to be in the 37% to 38% range. There is no change to our buyback strategy of repurchasing shares to both offset dilution and contribute to earnings growth. Our target of low double-digit non-GAAP earnings per share growth this year remains the same, with CDW UK contributing roughly $0.04 to $0.05 in the second quarter and then becoming part of the base at the anniversary in Q3. Finally, a few notes for those of you modeling cash flows. We continue to look for capital expenditures to come in at roughly 0.5% of net sales on an annual basis. For free cash flow, we continue to expect to be at the high end of 2.5% to 3% of net sales. Keep in mind that our second quarter tends to be the lightest cash flow quarter of the year. This reflects our payment of estimated cash taxes for the first quarter and second quarter and increased working capital needs to support what is typically our highest quarterly sequential sales increase. We have made excellent progress in managing our working capital and you should look for us to maintain our cash conversion cycle within our target range of the low to mid-20%s for 2016. For the full year, we expect a cash tax rate in the 37% range to be applied to pre-tax booked income, before acquisition-related intangibles amortization, which is approximately $47.5 million per quarter. In addition, we continue to pay approximately $20 million in tax annually related to the cancellation of debt income we incurred in 2009. That concludes the financial summary. Before we open it up for Q&A, let me briefly address the SEC investigation we disclosed last year relating to vendor partner program incentives. As we shared with you last quarter, we continue to cooperate fully with the SEC and, although we cannot predict the outcome, based on what we know to date, we do not expect this matter to have a material impact on the company. With that, let's go ahead and open it up for questions. Can we please ask each of you to limit your questions to one question and one follow-up? Operator, please provide the instructions for asking a question.
Operator: Our first question comes from the line of Matt Cabral from Goldman Sachs. Your line is open.
Matthew Cabral - Goldman Sachs & Co.: Thank you. On last quarter's call, Tom, you talked about some macro volatility that was causing your customers to be a little bit more cautious at the start of the year, did that change at all as you went through the quarter? And then how would characterize your customers' current views on the macro and how that impacts their setting patterns today relative to how they were thinking about it three months ago?
Thomas E. Richards - CDW Corp.: Matt, I would tell you one of the things that I think is a benefit to the CDW business model is the diversification of segments, and so the answer to that question kind of depends on the segment you're thinking about. The segment that probably ties the most to the macro-economic marketplace is our corporate segment, and as you heard me state, it feels like there's still in caution out there. And I think even within our corporate segment, you can see differences in different parts of the country depending on which industries they support. For example, our West Coast gang was continued to be fairly optimistic; the people that handled the oil and gas part of the world continue to be conservative. So I think it's mixed, and it still feels like there's a dose of caution out there. I don't know that there was a dramatic change as we kind of move through the quarter.
Matthew Cabral - Goldman Sachs & Co.: Got it. And then as a follow up, it's been about nine months or so since you closed the Kelway acquisition, what's your current appetite for further tuck-in acquisitions and are there any particular areas that you're focused on?
Thomas E. Richards - CDW Corp.: Our current appetite is, we've got all we can eat right now on integrating CDW UK. I almost said Kelway, but we've committed ourselves to say CDW UK. But look, in all seriousness now, we will continue to look at those areas, and I think we talked about this in the past, there may be some solution areas, where we feel like we need some either particular skills or there are some products, but I would say for the foreseeable future, we're going to be remained focused on getting CDW UK fully integrated and delivering kind of that one-company experience I talked about earlier.
Matthew Cabral - Goldman Sachs & Co.: Thank you.
Thomas E. Richards - CDW Corp.: Yep.
Operator: Thank you. Our next question comes from the line of Amit Daryanani from RBC Capital Markets. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Amit.
Amit Daryanani - RBC Capital Markets LLC: Good morning, guys. How are you doing?
Thomas E. Richards - CDW Corp.: Good.
Amit Daryanani - RBC Capital Markets LLC: I guess question and a follow-up from me as well. Tom, so I was surprised by the organic growth trends you talked about in storage and networking. I think you said up low-single digits. Most of the OEMs there haven't had such good numbers. I'm curious, what are you seeing that's different and are you actually seeing a shift from these vendors shifting more aggressively towards the channel that's perhaps helping you out?
Thomas E. Richards - CDW Corp.: Well, I think one of the reasons we continue to maybe perform a little differently is a) the breadth of the OEM partners that we support. Now, you've heard me talk about in the past that there's a lot of new players in that space, and we have benefited from the excitement around a lot of their products. But as I think I also mentioned on previous calls, I did not expect the traditional OEM partners to just sit there and say, okay, we're going to acquiesce. As we saw this quarter, we saw some of the traditional partners, especially in the flash area, be meaningful contributors. So I think it kind of comes back to the basis of the business model and the diversification we talk about is one of the reasons you see our growth sometimes be a little different than what you hear from people who are purely kind of in one particular product line or in one particular OEM.
Amit Daryanani - RBC Capital Markets LLC: Got it. And as a follow up, Tom, I guess, and given where the leverage today is well in that 2.5 to 3 times range for you guys, how do you think about the free cash flow that you see over the next 12 months, let's say? Given leverage where it is, should we think more about the free cash flow being used for buybacks and sustain the dividend, or would you like to actually delever below the low end of the target?
Ann Elizabeth Ziegler - CDW Corp.: I think that we'll be consistent with the capital allocation target that we've been following for over a year and that is to continue to increase our dividend until we get the 30% of free cash flow. We have done some significant increases the past two years, 59% each year. So, I would expect us to continue to do that until we get to the 30% target. And then, we will use excess cash for tuck-in acquisitions. Tom mentioned we've probably got our handful in the short run, and then to buy back stock. I think in this interest rate environment, 2.5 times to 3.0 times, we're very comfortable with that leverage ratio. If there were to be a material change in interest rates, we obviously would re-address.
Amit Daryanani - RBC Capital Markets LLC: Perfect. Thanks and congrats on the quarter, guys.
Thomas E. Richards - CDW Corp.: Hey, thanks Amit.
Operator: Thank you. Our next question comes from the line of Matt Sheerin from Stifel. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Matt.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: Yes. Thanks and good morning, everyone. Just a couple of questions from me. Tom, you're looking across the technology supply chain, last quarter, you saw a bunch of your competitors, distributors, as well as OEMs talk about an acceleration to cloud adoption from customers, which is adversely affecting hardware sales. It sounds like you guys are adopting with your customer or adapting with your customers on the cloud, how would you characterize that environment and have you seen that acceleration?
Thomas E. Richards - CDW Corp.: Well. I think, Matt, if you think about the success of our cloud practice, we too are experiencing what I would describe as the benefit of customers thinking about within their infrastructure, what parts of that infrastructure, what applications, what workloads make sense for me to put in the cloud. I think that has a lot to do with why you're seeing the growth I alluded to. But I also think what you're seeing, because we had a number of segments that had storage and server growth this quarter, you're also seeing people continue to look at what I believe is the ultimate model is going to be a hybrid infrastructure. And so, they'll look at those situations where it makes sense to have it either on prem – and, in fact, we just had a bunch of customers at one of our leadership off-sites and it was interesting to hear them talk and how they think about where an application goes. And I'd tell you it's partially driven by economics, it's partially driven by flexibility, it's partially driven by cost and I think that's one of the reasons that we've had the balanced growth of both our cloud practice and some of the more traditional hardware categories.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: And just as a follow up to that. As you see $100 spent five years ago on internal data center or cloud and now parsed into off-premise and on-premise, are you able to capture all or most of that revenue opportunity now with the cloud or is it less?
Thomas E. Richards - CDW Corp.: Well, I think it's interesting. Maybe I'll put a little different spin on it, Matt, is the dollar flows are different because of how cloud is billed. And as I've talked about it a couple of times, some people have adopted a subscription model, which if I'd draw an analogy, it'd be like the old days when there was a fair amount of leasing of hardware, where the revenue stream is more ratable, so to speak, and more predictable. So I think that makes it hard to make the perfect correlation. Do we have the capability to capture all of the spend? Yes, we have the broad product suite to do that. But ultimately, I guess if you're really honest, it comes down to your ability to continue to execute in the marketplace is going to determine whether or not you're going to capture the majority of the revenue stream.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc.: Okay. Thanks very much.
Thomas E. Richards - CDW Corp.: Yep. Thanks, Matt.
Operator: Our next question comes from the line of Brian Alexander from Raymond James. Your line is open.
Brian G. Alexander - Raymond James & Associates, Inc.: Okay. Thanks and good morning. Ann, just on the buyback. How should we read the $750 million authorization in terms of the timing given that it's 12% of the market cap. Should we be reading this as an expectation that buybacks might be a larger contributor to your double-digit EPS growth objective than you previously anticipated? Maybe just some help on the timing that you expect to execute it. Thanks.
Ann Elizabeth Ziegler - CDW Corp.: Yeah. No, we would expect that authorization to last for several years, I would say. And part of it just depends – I mean, in the capital allocation strategy, we don't have a desire to forecast (43:39) so to speak – at interest rates near zero, having a lot of cash on our balance sheet isn't something that we want to do or that the business model needs. And so, as we see potential acquisition opportunities, we'll look at those. If we don't have the capacity or there isn't anything attractive out there, we'll deploy excess cash after dividends to buy back stock.
Brian G. Alexander - Raymond James & Associates, Inc.: But your organic EBITDA growth, if you will, the expectations for that hasn't changed?
Ann Elizabeth Ziegler - CDW Corp.: No. I mean, we maintain you know to outgrow the U.S. IT market by 200 basis points to 300 basis points and essentially to maintain our adjusted EBITDA margins in the mid-7% range, so that just flows through to EBITDA, so to speak.
Brian G. Alexander - Raymond James & Associates, Inc.: Right, okay. And then just on Kelway, which looked like it over achieved in Q1, it added over 8% to growth. You're expecting it to add I guess 7% to growth in the first half, so that implies in Q2 your UK revenue will decline roughly double-digits sequentially. Is that related to the integration or is that just the seasonality of the business? Maybe a little bit more on...yeah.
Thomas E. Richards - CDW Corp.: Yeah, Brian, yes, this is Tom. It's just the seasonality. I mean, they have a different rhythm because of the first quarter end to their fiscal year. And so, interestingly enough, it's very similar to what you see here when we have the sequential behavior, the same is true over there. And then they had the added part that last year was an election year, so you had this kind of big second quarter. And we knew that. That's one of the reasons when we gave you the signal of $650 million to $700 million for the first half. We knew we had that kind of different rhythm, if I can say it that way, than the U.S. So it is performing exactly as we expected. Except, I will say, they performed better than we expected in the first quarter.
Brian G. Alexander - Raymond James & Associates, Inc.: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Osten Bernardez from Cross Research. Your line is open.
Osten H. Bernardez - Cross Research LLC: Hi. Yes, good morning.
Thomas E. Richards - CDW Corp.: Good morning Osten.
Osten H. Bernardez - Cross Research LLC: How's it going, Tom? So I just had a couple of questions. First, with respect to your revenues from client devices; they seem to be growing faster than the rest of the market even and some of those other channel players, and I wanted to know to what extent do you attribute your Dell relationship to the growth that you're seeing in your mobile computing devices?
Thomas E. Richards - CDW Corp.: I would say, look, it's kind of as expected, Osten. We thought there would be some additional contribution from adding Dell to the product suite. That was kind of the rationale and, in fact, we saw that. But I don't know that I would attribute all of that growth to Dell. I think some of it is kind of the cyclical nature of refresh, and we did have a little bit of a strange, as you heard me call out in the script, dichotomy of performance, if you will, in that transactional growth was very heavy in our corporate segment and just the opposite in our public segment. I think some of that has to do maybe with just project momentum. And some of the caution you may have heard me articulate in the script about corporate and MedLar may have given people incentive to do some projects on the transaction side versus the solution side.
Thomas E. Richards - CDW Corp.: Yep, good question. Hey, let me offer one other thing, too. We did have some really strong success with some new form factors in the quarter, and I think that contributed a lot to that improved growth that you saw in the transaction space. And then back to E-Rate, E-Rate is – especially as you're starting to think about, you still have 2015 E-Rate funds and now they started to 2016 process. So let me see if I can give some clarity. If you think about the 2015 money, just comparing last year, first quarter of this year, the E-Rate funds we received, or flowed through in revenue, was 12% higher. So it is having a positive impact in the education segment. As you may or may not know, we've been able to see customers spend a little greater than 50% of the money that was allocated. So, let's say $120 million were allocated to CDW customers and we've seen them spend in the north of 50%, 60% range. So that means there's a still hunk of spend out there to be spent. Now, in reality, Osten, they don't ever really spend 100%, so we've got some incremental runway on last year's E-Rate revenue. Now, we start 2016 E-Rate process, which unfortunately was delayed a month because of a systems glitch, so it's a little bit behind where we were last year. But we would anticipate, and we are expecting ourselves, to perform at the same rate when it comes to capturing that new revenue. And then I think lesson learned, we'll expect that the spend is going to take over a year as we move through the process.
Thomas E. Richards - CDW Corp.: Okay. Thanks, Osten.
Operator: Thank you. Our next question comes from the line of Sherri Scribner from Deutsche Bank. Your line is open.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi, thanks. Tom, it sounded from your commentary that the macro environment is generally still about what you saw at the beginning of the year. I just wanted to make sure that was the case, even though there's been a number of puts and takes, in general, it sounds like your outlook is relatively unchanged for the year.
Thomas E. Richards - CDW Corp.: Yeah. I would say, it remains the same. I think there's still a dose of caution out there in the marketplace. Now, granted, we don't have what I'll call the panic that was driven by the financial markets in January and February, but I also believe there's enough indications. Look, if you think about it, Sherri, this way, what were they forecasting GDP in the first quarter? It was forecasted to be like 1.3% and it came in at 0.5%. So I think that caution is driven by the reality of kind of the fragile economy we're dealing with. Now, we are expecting it to improve as we go through the year, and that gives us some optimism when we think about some of our segments.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: And then maybe could you just touch on the earlier comments you made about some changes in form factor? I assume that's in the PC segment, are you seeing more momentum in things like two and ones, and...
Thomas E. Richards - CDW Corp.: Yeah. Exactly.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: ...tablets? And then maybe what's your outlook for the second half of the year for the PC market? Thanks.
Thomas E. Richards - CDW Corp.: Well, we're not going to give you an outlook for the second half of the year, but I will tell you that you're 100% on target, it is those two-for-one new form factors that I think seem to be appealing to a market need and we have benefited from the introduction of those, especially as other OEMs have adopted that introduction.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thanks, Tom.
Thomas E. Richards - CDW Corp.: Okay. Thank you.
Operator: Our next question comes from the line of Mark Moskowitz from Barclays. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Mark.
Mark Moskowitz - Barclays Capital, Inc.: Thank you. Good morning, Tom and Ann. Two questions if I could. Tom, can you just talk a little more about how investors should think about CDW's ability to really size up some of these macro and the IT blues that some of my peers have talked about during today's call in terms of just how much are you being able to offset this with increasing penetration of existing customers versus new logos in terms of new customers. I want to see if you can get any more market share in terms of new customers and then how we should think about that in terms of sustainability? And then the other question is really around the cloud. If you could talk about the cloud in terms of – and update you can provide us in terms of marquee kind of partnerships that could be announced, or are you working on with respect to some of the Tier 1 and Tier 2 cloud providers that you could partner with over the next year or so? Thank you.
Thomas E. Richards - CDW Corp.: Okay. I think, let me try to walk through the first question, Mark. I think part of it starts with our scale that gives us the ability to go to market in a segmented way. And that diversification of markets that we address I think has a lot to do with our ability to consistently deliver performance above the market. If you think about it, these markets operate so independently. I mean, you just think about the success we had in the government segment and in particular in state and local, you look at small business had a pretty good quarter. And then, you look at – like education and even that's a bifurcated market. What we saw in K-12, while it ended up down slightly for the quarter, was really an upswing and momentum as we went through the quarter. And then you look at higher-ed who just has the budget issues. So I think that diversification, and at least in my experience here at CDW, is one of the main reasons that we were able to kind of have this sustainable performance. The second thing is the breadth of the OEM partners that we have. We've talked about storage is just a great example. We've been able to maintain what I would describe as a solid storage track record here over the last five quarters or six quarters, in part, because we have a number of new entrants that are coming in. We bring on 60 to 70 new people every year. And that influences new opportunities in the marketplace. And I think, I've said this before – as you might have an OEM have a tough quarter, the breadth of the OEMs that we carry have a tendency to mitigate the negative swings we might have in the marketplace. And then linking that to your acquisition versus penetration, we – I think look at, for example, small business is an incredible acquisition engine for us. And it's ironic that one of the great drivers of that acquisition is cloud computing, because the cloud model, especially a public cloud model, is especially appealing to a small business that doesn't have a lot of capital, that's trying to get themselves started. And so it's been not only a driver of growth but a driver of small business when I'm speaking about cloud computing. So then I move to the second part of your question. We've got a pretty broad portfolio of cloud partners as it exists today. I'm going to say it's north of 50 cloud partners to 70 cloud partners that are out there, and each of them have different go to market strategies and how they think about CDW. I would say the staff part of the business has continued to grow and infrastructure as a service is an increasingly important and growing part of the business, but it doesn't yet have the penetration level of SaaS. I think in part because SaaS in many cases is a little lower risk. So people kind of stick their toe in the ocean on a SaaS application. But increasingly, as I referred to the customers we had in here a couple of weeks ago, are thinking about infrastructure as a service, or hybrid implementations where they're doing things like putting current converged infrastructure in the middle of a cloud-based data center and using converged infrastructure as kind of a traffic cop.
Mark Moskowitz - Barclays Capital, Inc.: Thank you very much.
Thomas E. Richards - CDW Corp.: All right, Mark, thank you.
Operator: Thank you. Our next question comes from the line of Tien-tsin Huang, from JPMorgan. Your line is open.
Tien-Tsin Huang - JPMorgan Securities LLC: Great, thanks, good morning. Just wanted to ask about CDW's services, up almost double digit. Should this be an above average grow rate this year you think? And obviously some implications for gross margin, so I'm just trying to understand that a little bit better.
Thomas E. Richards - CDW Corp.: Yep. Well, we have high expectations of our services organization, as always. And we've made a meaningful investment in that business when it comes to service delivery engineers, and so we expect them to continue to grow. I think if you heard this quarter, the two people – two people, right Tom, the two parts of services that grew where warranties, which is kind of tied to some of the transactional growth success we had, and CDW best services (57:13), which is really kind of our professional services business. And that very much is a link to our solutions practice. So when you see us growing servers and Netcom and some of the wireless capabilities, having this service ability to not only procure it, but implement it and manage it is important. So I'm not going to give you an actual forecast, but suffice it to say, we expect them to continue to perform at a meaningful rate.
Tien-Tsin Huang - JPMorgan Securities LLC: That's helpful. Just on the Kelway. Just any update on synergies? I know it's doing well, and I caught the fiscal year end comment, but just the synergy part, capturing the U.S. spend in overseas with their locations, et cetera?
Thomas E. Richards - CDW Corp.: Yeah. We've had a really strong success. Inside of our referral business, it's a – I don't want to give you the exact number, but just suffice it to say that it's meaningful double-digits of deals that we've had as a result of having that capability. And it's not just one way. It's not just UK benefiting from U.S. customers; we are benefiting in the U.S. from UK customers. So it's executing the way we had hoped.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay, great. I like the Orchestration campaign, by the way. I like the Orchestration campaign, by the way, Tom.
Thomas E. Richards - CDW Corp.: Thank you.
Tien-Tsin Huang - JPMorgan Securities LLC: I like the Barclay ones as well, but I figured I'd throw it out there.
Thomas E. Richards - CDW Corp.: Yeah, well, you just made one guy in this room really happy, so I'll have him send you a thank-you note. All right, good.
Operator: Thank you. The last question that we have time for today will be from the line of Katy Huberty from Morgan Stanley. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Katy.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Good morning, thank you. So two quick questions. First, you talked about accelerated product growth in the back half, is that just normal seasonality or do you have a pipeline of deals that suggest an acceleration in that business? And then secondly, you made a comment about lumpiness in server growth, can you just go through why it is again that you think that there'll be some volatility in that part of the business? Thank you.
Thomas E. Richards - CDW Corp.: Okay. So on the first one, I'd say it's a combination of two things. It is looking at some of the larger deals that we have, that we feel like we're beginning to ship product as we move through the year. But it also is kind of the – if you think about the composite of our customer set, Katy, there's a fair amount of our customers that are small to mid-size businesses that tend to move with the economy. So some of that is driven by an expected improvement in GDP. and therefore expected spend. So it's a combination of both. And the lumpiness in server hardware versus server solutions, which has been pretty consistent growth, is in part driven by certain segments. For example, we had a couple of segments that had just incredible server hardware quarters, but we had other segments that were benefiting from virtualization and doing something to create capacity. So, what we're seeing is, depending on where customers are in their lifecycle, if they're in the middle of virtualization and creating additional capacity, they're not buying new hardware. We've a couple of segments, truthfully, that are waiting for the new chipset, and feel very much like when that gets delivered, we're going to see some incremental server hardware takeoff. So just trying to be transparent into kind of the different dynamics influencing that server – server solutions area.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Got it. That makes sense. Thank you very much.
Thomas E. Richards - CDW Corp.: All right, Katy. Thank you.
Operator: Thank you. That's all the time that we have for questions today, so I'd like to turn the call back over to management for closing comments.
Thomas E. Richards - CDW Corp.: Okay. Thanks, Andrew. Thanks again, everybody. I appreciate you taking the time today and appreciate your questions, and your following CDW. As always, if there's anything we can help your businesses with, we'll be more than happy to share some of those investments we've been making in people and technology. And, as always, it's Mother's Day on Sunday. So do not forget, she's the reason you're here. All right. Thanks, everybody. See you.
Operator: Ladies and gentlemen, thank you again for your participation in today's conference. This now concludes the program. And you all may disconnect your telephone lines at this time. Everyone have a great day.